Operator: Welcome to the Sequans Second Quarter 2014 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session; instructions will be given at that time. As a reminder, this conference is being recorded. Before I turn the conference over to our host, Mr. Georges Karam, I’d like to remind you of the following important information on behalf of Sequans. This call contains projections and other forward-looking statements regarding future events or our future financial performance. All statements other than the present and historical facts and conditions discussed in this call, including any statements regarding our future results of operations and financial positions, business strategy, plans and our objectives for future operations are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27(A) of the Securities Act of 1933 as amended, and Section 21(E) of the Securities Exchange Act of 1934 as amended. These statements are only predictions and reflect our current beliefs and expectations with respect to future events and are based on assumptions and subject to risks and uncertainties and are subject to change at any time. We operate in a very competitive and rapidly changing environment. New risks emerge from time-to-time. Given these risks and uncertainties, you should not place undue reliance on these forward-looking statements. Actual events or results may differ materially from those contained in the projections or forward-looking statements. More information on factors that could affect our business and financial results are included in our public filings made with the Securities and Exchange Commission. Please go ahead, sir.
Georges Karam: Thank you, Tania. Good morning ladies and gentlemen. This is George speaking. I’m with Deborah Choate, our Chief Financial Officer. And both of us are very pleased to welcome you to our second quarter 2014 results conference call. As usual, I’ll start by covering the business update, then Deborah will go through the financial details and we will conclude the session with the Q&A. Our second quarter revenues reflected the acceleration of our router business from emerging and Greenfield carriers as well as the continued popularity of the portable router for Japan that uses our chip. This is providing a strong foundation for the growth we expect from the U.S market beginning in the fourth quarter where we expect a new design in the same device category to launch. Also during the second quarter we’ve begun shipping for the build of a mobile computing design -- mobile design win targeting a Q4 launch. Meanwhile, some of our other customers target launch date planned for the third quarter were pushed out that otherwise would have provided a little bit more revenue in the second quarter. As a result, our second quarter revenues were at the low-end of our guidance range and our third guidance -- third quarter guidance is a bit lower than it would have been as the targets has remained the same. Note that as we’re gaining more visibility on our customers target launch windows, our ability to forecast our results is getting better. In general, the trend of our business is in line with our original assumptions that most of our design wins would launch in the second half of 2014, since several are now moving to production phase with a device launch is expected in the fourth quarter. Looking forward, we’re very happy with the progress of our business on a number of fronts. Let me summarize this in a few bullets. First, our home and mobile router business. With emerging and Greenfield operators continues to show very strong growth quarter-after-quarter. And shipments to our major OEM, ODM for this market are tracking ahead of expectations. We have added several new design wins during the second quarter, but we consider three of them to be major wins. We hope to turn most of them to revenue in the first half of 2015. Some of these design wins are adopting our new chips that we’ve introduced this year, Cassiopeia and Colibri. We are very pleased to see both of them gaining traction. Several modules manufacturer are engaged in design with our Colibri platform, which is optimized for the Internet of Things. Also we’re getting excellent feedback on our high performance LTE advanced chip Cassiopeia where we also have a design win and multiple opportunity that we’re pursuing. We are seeing more and more opportunities for single-mode LTE devices. Other than the carriers with whom we’re engaged, like Verizon, we’re seeing more operators around the world including the other U.S carriers and several carriers in Europe are planning to introduce single-mode devices and we’re actively engaging with them. What this means, that our overall pipeline of potential business continues to grow, and we keep developing our strategy for new advanced technologies to enhance our long-term strategic position. Now I’ll give you an update according to each device category. We had a number of positive developments recently in the home and mobile router category. In addition to the mobile router device shipping to Japan, we’re seeing very encouraging growth, as I said, through our strong OEM, ODM relationships like Gemtek, for Greenfield and emerging operators around the world. This represents the current base of revenue and we’re pleased to see it continue to grow at a healthy rate. We also anticipate the growth in the U.S and Europe next year. In addition to the major U.S design win we’ve in this device category, we recently gained two additional design wins that could be considered large as well. One is targeting the U.S market and the other is targeting several European operators using our new LTE-advanced chip. This category perhaps doesn’t seem as sexy as other types of devices. I’m referring to mobile computing consumer Internet of Things. But we expect this device category to be an excellent source of revenue because of two things. First, it represents significant portion of the single-mode LTE total addressable market for Sequans. And second, we’re doing very well on this front. In fact, in addition to what we’ve secured so far, we’re engaged on several other deals addressing the U.S and European carrier that we hope to close in the near future. Not to forget that another source of upside potential in this category is represented by China and India where we’ve a number of OEM and ODMs eager to serve these markets and ready to go with the products. As you know, we’ve tempered our near-term expectation for revenues from these regions due to things moving slowly with the operators. Recently, there has been an indication that the bottleneck that developed in China Telecoms Lab is easing. This bottleneck was due to the large number of smartphones that were receiving priority attention. Now we’re hopeful that regional processing will begin at China Telecom by year-end even if we don’t have very good visibility on the quantities. On China Mobile side, they’re still slightly focused on multi-mode smartphones as their top priority. But we’re engaged on some smaller projects through our partners that it should turn to revenue in the near future. In India, after many delays, Reliance seems to be on track for soft launch in the third quarter, in preparation for a commercial launch around year-end. There has been some changes to their technical requirement in terms of frequency band if you heard about it; they’re now asking to add to their existing TDD band, the Band 40 and FDD band which is the Band 3 that they got access to it. And now our OEM and ODM partners are prepared to address the single-mode opportunity in India as it develops over the next year. Turning now to the Mobile Computing category, revenue is materializing more slowly than we’d like because some target launch date are being pushed out for reasons that are completely unrelated to Sequans. Despite some bad luck so far, tablets and notebook hold a great deal of promise and we’re engaged in advanced discussions regarding several opportunities across many carriers, which could turn into design wins in the near future. Perhaps, most encouraging of all this quarter is the strong interest from major module manufacturer. Now that more U.S carriers are showing interest in single-mode devices. U.S oriented Modules Company can see broader market and we’re pursuing strategic engagements with these companies as well as engaging directly with the carriers. We are also working with them to address operators in other regions outside the U.S., such as Europe and India. In the Public Safety segment, we’ve better visibility on the public safety released handset, we announced sometime ago, and we expect it to launch in the first half of next year as planned. We’ve also identified several additional public safety opportunity which are not yet design wins, but also are quite advanced. The last device category to update you on is the Internet of Things, which includes machine-to-machine and consumer electronic devices. Since the introduction of our new StreamrichLTE chip in June, we’ve seen a huge amount of interest within this category. Our new chip called Colibri is designed specifically for Internet of Things and machine-to-machine devices and it’s the first LTE chipset to enable LTE connectivity at very affordable price. We had several new design wins during the second quarter in this category. One is related to the second metering application, another is for a router for the machine-to-machine market, both addressing the U.S market. In addition to these design wins, we’re in active discussions on many more opportunities for all sorts of interesting new applications. We are seeing keen interest for modules manufacturer who are pursuing this engagements with us, which can produce design wins for many devices. This is the business model that we envisioned from the beginning and we’re pleased to see this developing in addition to our own module sales which are exceeding the market as planned. We expect the Internet of Things and machine-to-machine category to help fuel our growth next year. To summarize, I’ll give you maybe difference of view -- perspective view from the geographic perspective. Demand from the emerging Greenfield carriers around the world continues to grow and we’re doing very well in this market as I said previously. In the U.S., we’re seeing strong ongoing interest and support from Verizon for a broad array of single-mode devices. We expect this to continue to expand going forward. We have also been actively engaged with AT&T and Sprint and the interest in single-mode devices that is becoming much more specific. The U.S remains a key focus for us for all types of devices, home and portable routers, mobile computing and machine-to-machine Internet of Things devices. In Japan, we continue to benefit from the popularity of the Huawei portable router via KDDI. Meanwhile, we’re pursuing additional single-mode opportunity for 2015. Also our engagement to Softbank is ongoing and we hope it will progress beyond the trial phase next year. In Europe, the home and mobile router market potential is beginning to materialize through several partners pursuing European carrier opportunities. We also see this as a source of additional growth next year, followed by opportunities in the mobile computing category as coverage in Europe expands. As I noted, our expectation for the second half remained very modest for China and even more so for India. Nevertheless, they both represent large potential markets and there are some signs that things are beginning to come together. We still don’t have good visibility on the timing or quantities from these two markets, but they certainly represent potential upside for the coming year and beyond. We have strong customer relationship with OEM and ODMs, actively targeting both markets and we expect to benefit as the single-mode opportunities develop in these regions. So to conclude, overall we’re very happy about the business progress. Even if the pace of our revenue ramp is a bit slower than we had thought, it might be. We don’t consider this as a major issue as we believe we have the financial flexibility to accommodate the revised timetable and feel very confident about our future. We’re winning more and more designs. We are converging more and more of them to revenue as their launch dates are approaching and our market with many carriers across the world is expanding with more and more opportunity worldwide. So we have all the component to be success. Now, I’ll turn the call over to Deborah, to take you through the financial discussion.
Deborah Choate: Thank you George and good morning everyone. I’d like to add some details about our second quarter financial results, of our guidance for Q3, and explain some sources of additional funding that we will receive in the next few quarters. Revenues in the second quarter of 2014 were $5.1 million, a 13% sequential increase and a 116% increase compared to the second quarter of 2013. We shipped approximately 400,000 units in the quarter. We again had two 10% customers in the quarter, GenTek with 378% share and Huawei with 36% share. We realized an overall IFRS gross margin of 41.3%, slightly above our guidance of around 40%. Operating expenses were $10.8 million in the second quarter, up slightly from Q1, primarily due to product development costs, accompanied by some increased headcount in both R&D and sales and marketing. Our second quarter operating loss which includes stock-based compensation expense was $8.7 million compared to an operating loss of $8.3 million in the first quarter and an operating loss of $9.2 million in the second quarter of 2013. Net loss was also $8.7 million in Q2, slightly higher than the first quarter due to the higher operating expenses in the second quarter. This compares to a net loss of $9.1 million in the second quarter of 2013. Basic and diluted loss per share was $0.15 in the second quarter 2014, based on 59.1 million shares outstanding, compared to a net loss of $0.14 in the first quarter, also based on 59.1 million shares. Basic and diluted loss per share was $0.20 in the second quarter of 2013. To facilitate comparisons, we’ve also reported our results on a non-IFRS basis, which excludes stock-based compensation expense from net loss. Our non-IFRS net loss was $8.4 million in the second quarter 2014, compared to a net loss of $7.9 million in Q1 and $8.6 million loss in Q2, 2013. Non-IFRS basic and diluted loss per share was $0.14 in the second quarter, compared to a basic and diluted net loss of $0.13 in the first quarter and $0.19 in the second quarter of 2013. Our cash position at June 30, 2014 was $22.1 million, compared to $27.9 million at the end of Q2 -- sorry, Q1. Cash used by operations in Q2 was $3.3 million, compared to $8.4 million in the first quarter. As expected, we collected in the quarter a $4 million research tax credit related to 2011. And we continue to expect to collect the 2013 tax credit also close to $4 million in the fourth quarter of 2014. This is reflected on the balance sheet as receivable and current assets along with the amounts being accrued for the 2014 tax credit. We’re also expecting to receive R&D funding to finance a portion of our product roadmap and the good news is that we now expect this to be about $9 million in total with $4 million expected to come this year very likely to be received in late Q3 or early Q4. As we discussed on our previous call, we’ve put in place a receivable financing facility to address our working capital needs as we prepare for multiple device launches and volume growth. Lastly, we’re also currently discussing several additional sources of cash inflows from strategic technology partnerships as well as financing available from various government agencies. Accounts receivable at June 30, 2014 were $6.4 million, reflecting DSOs of approximately 108 days, compared to 61 days at the end of Q1, due to the concentration of billings at the end of the second quarter. Inventory increased slightly in the quarter to $5.9 million at the end of June compared to $5.6 million at the end of March. Looking forward, we expect revenues for the third quarter of 2014 to be in the range of $6.5 million to $7.5 million, with non-IFRS gross margin above 35%. We expect non-IFRS net loss per diluted share to range between $0.12 and $0.14 for the third quarter, based on approximately 59.1 million weighted-average diluted shares. Our guidance for non-IFRS net loss per share excludes stock-based compensation expense, which we expect to be around $300,000 in Q3. So to summarize, we continue to expect a significant ramp in our LTE revenues now beginning during the fourth quarter and we target exiting 2014 at a double-digit revenue level and to approach breakeven during the first half of 2015 with a significantly lower cash burn. And now, I’ll turn the call back to Georges.
Georges Karam: Thanks, Deborah. So to conclude the presentation and take the questions, just maybe a few highlights to recap what we want to really to leave as a message here today. We are quite pleased about the progress of the business. And as you see our revenue is ramping. This is obviously coming from the fact that all the design wins we were talking about for a long time now they are turning to product launch and happening and obviously Sequans started shipping because as you know chip business you are at the beginning of the value chain. Second, its not only stopping there, because we were very, very busy in this quarter, and we’re quite very pleased with the -- even if we didn’t have too much noise in the quarter in terms of press releases we had several design wins that we got. And I qualified at least three of them as major that should convert revenue and hopefully in the first half of 2015. Another thing also related to -- we were busy in the second quarter addressing many carriers interesting enough that for single-mode LTE, its opportunity are expanding in the U.S. in Europe, other carriers. And this is really opening more opportunity for us. And in brief if you look to our business obviously the traditional, the first business we had in the company very well engaged which is the home and portable router business. This is doing very well across all the carriers with many design wins and revenue ramping. And the two new businesses that we engaged in the second phase were the businesses addressing the mobile computing and the Internet of Things, they are doing well because we’re heading in the right direction. So to conclude, I’d like to say that we feel strong about our future. We feel confident in our financial capability to fund the currencies of growth and hopefully we expect to be successful and you’ll rematerialize this in revenue growth in the near future. Thank you. We can turn it now to questions and maybe Tania if you can take care of this. Thanks.
Operator: Certainly. (Operator Instructions) And our first question will come from the line of Anthony Stoss with Craig-Hallum. Please go ahead.
Anthony Stoss - Craig-Hallum Capital Group: Hi, guys. Geroges, maybe if you would like commenting about the push-outs, the number of customers or maybe even the number of devices that, the push I guess from Q3 and how far out you think they push. And then lastly the three major as you qualified it, design wins for M2M. Any more color would be helpful in terms of what verticals they might be in? Thanks.
Georges Karam: Hi, Anthony. Its really, the push-out is coming from the mobile computing design win, because we were preparing design wins in the home router, portable router. We keep on track on this. We had on the old computing one not impacted at all for which we started shipping as we mentioned. And two, impacted that a little bit, their timing there were I mean one by the way is publicly known. We were expecting this to launch really kind of mid-year or summer time. And for execution reason if you want on the project side globally it has been pushed out, but still planned for Q4. So, on the push-out and in terms of design win on the end term, we mentioned that we have two of them there. One is really metering application. We have already one design win in the metering, so this is the second one adding up. And by the way we’re seeing a lot of traction there. We were (indiscernible) few others. And the other one is in the application of industrial machine-to-machine routers where by the way we have other. This is not the first one, we have others as well design win. Previously we won and we working on additional opportunity. And there honestly we see many other application whether in home security or automotive that we’re working on not just in design win today.
Anthony Stoss - Craig-Hallum Capital Group: Got it. Thank you.
Operator: And next we’ll go to the line of Quinn Bolton with Needham. Please go ahead.
Quinn Bolton - Needham & Company: Hi, Georges. Hi, Deborah. I just wanted to ask and maybe I just missed it. But the large design win you had for I think the traditional data devise for Verizon. Is that still on track to ship in Q4 as previously discussed?
Georges Karam: Absolutely. Yes.
Quinn Bolton - Needham & Company: Okay. And then it sounds like a couple of the mobile computing designs you thought would launch in Q3 have shifted out to Q4, so you’ll have multiple design wins ramping in the fourth quarter?
Georges Karam: Yes, absolutely.
Quinn Bolton - Needham & Company: Is it just that the portable or traditional data device plus the two.
Georges Karam: The traditional device, I mean is not impacted. As I said I mean, what you call traditional is the home router, portable router to be more specific. And I said that we have another major design win in the same segment, two of them in the same segment. One of them is for the U.S. So, if you want to qualify the U.S. opportunity in this device segment we could qualify that we have two major one. The old one that we had we are executing on and another one that we just got now. So we’re going to see something in Q4 and something first half 2015 from this category in the U.S. We are working by the way on other opportunity similar to this one. And the mobile computing only where we had if you want to delay of launch of two devices and this has impacted a little bit the ramp of the revenue there. Other than this, there is no impact.
Quinn Bolton - Needham & Company: Okay, great. And then just, I know you obviously only give guidance one quarter out. But it sounds like you’ve got a number of designs that launched the market in Q4. I guess traditionally I would have thought, you typically seasonality in the business in the March quarter. Based on the timing of the designs you have in hand today plus some of the new, the three new major designs wins launching in the first half of next year. Do you think you might actually be positioned for sequential growth in the March quarter and the timing of those designs really overshadow any potential seasonality in the mobile computing business?
Georges Karam: It’s an interesting question, I mean because we are balancing, Quinn. You will have two effect that will be coming in. On one side obviously you have the Black Friday and you understood that many of those devices are going in Q4. So, if some of them are very, very successful in Q4, Q4 typically will be higher and Q1 will be more regular or lower. So, to balance this you need to have new design happening in Q1. Because we are adding new design win, so we have the potential, I don’t know to say maybe sequential growth Q4, Q1, but to some extent if Q4 is very, very strong it will be harder for us to make sequential growth Q4 to Q1. If the Q4 is good and then you could have slight growth Q4 to Q1.
Quinn Bolton - Needham & Company: Okay, understood. And just I was wondering if you might be able to give us any more color on Cassiopeia LTE-A design win that I think you mentioned for the European in the portable or home router segment?
Georges Karam: Yes. This is really for the home router, portable router segment, this is Cassiopeia. And the main target is Europe, obviously its not only limited to Europe, but the main target is Europe.
Quinn Bolton - Needham & Company: And will it launch with multiple carriers in Europe? Is it a design win with a module or an ODM that they can potentially ship into multiple carriers?
Georges Karam: If you want the nice stuff about the market in LTE, I mean even in the LTE people obviously you know that you have tons of frequency band to support if you want to have worldwide [ph] [SKU]. However, if you look to some region, some region are easier than others. Europe happens to be an easy region, because they have three bands. If you cover [ph] [3720] not all the countries they have the three band. Some of them have two, some of them have three. But with three bands you can cover all Europe. Now that we’re seeing, someone who’s designing a device for European carrier he can from the start build the [ph] [3720], and being able really to ship to any European carrier with whom he is getting business because he will be ready. And if he wants really to optimize a few dollar there on his design he can un-populate one frequency brand that’s not chosen. And typically people as well they use modules to keep open architecture for them allowing them to move quickly from one region to another region as well.
Quinn Bolton - Needham & Company: And just a last follow-up question on that Cassiopeia, obviously you probably need to go through carrier validation in Europe. Can you give us some sense where -- if you’ve got a design win it sounds like it might be within ODM that could potentially target multiple countries in Europe? Can you give us a status on where are you with LTE advanced qualifications with the carriers?
Georges Karam: In Europe, obviously it depends on the carrier in general, and some carriers they have what they call qualification at the chip level, then you move to module or product level. In Europe you take for example a carrier like Orange, they don’t have this process -- this sophisticated process of substitution. It doesn’t mean that they don’t have lab or they allow you to make testing and so on in preparation, but they don’t have a kind of firm substitution process where you need to do this first at the chip level before moving to the product. This is for example, the example is Verizon and AT&T, counter example of this is Sprint. Sprint they don’t have this for its like other European. So, in general in Europe you don’t have chip substitution. However you have what we call interoperability testing and zone with those operator. And you’ve seen by the way we did mention this on the script, but that we were engaged with Orange and Roland Garros, the French Open. And here we have products really on the -- working in France over there and so on. So, we are quite comfortable testing in Europe with Orange for example. We did some similar testing in Russia in large substitution. We’re working as well in the U.K. sometimes with some carriers. So it’s not really a big challenge, because typically you will face the same (indiscernible) vendor with whom we are interoperable already, and it’s the same bands [ph] [3720]. So if you are good with one carrier you can expand very quickly.
Quinn Bolton - Needham & Company: Okay, great. Thank you. I’ll jump back in the queue.
Operator: And next we’ll go to Tristan Gerra with Baird. Please go ahead.
Tristan Gerra - Robert W. Baird & Co.: Hi, guys. Just a quick question on pricing. We’re seeing fairly aggressive pricing as there are TD-LTE modems coming to the Chinese market whether it’s from MediaTek or even in Qualcomm’s pricing strategy. Does that have any impact on your pricing and cost structure going forward? Where do you see pricing? Do you intend on keeping the gap with multi-band chips going forward and anything that you could mention in that regard?
Georges Karam: Yes, Tristan hi. I mean obviously we’re hearing the same. We were getting the same kind of formation. This is really specific item to say to the fight in China where everybody is trying to do something there. And obviously this is focused a lot on the smartphone, and this is not only by the way the LTE is. The LTE application processor, so people are really trying to keep their -- maximize their design win there by adjusting the pricing. So, obviously we get some impact of this because once you drop pricing somewhere in the (indiscernible) any carrier is sensitive to this or any customer is sensitive to this. So we’re seeing some pressure on the pricing. Thank God that we are very strong in our architecture if you want being single-mode. So the advantage in die size is there. The relationship that we have with our partners, foundry partners is very good to support us as well. So, we’re managing and going forward we don’t see (indiscernible) pressure and going forward you saw for example platform like Colibri where really I believe we’re ahead of everybody. I don’t believe anyone can compete with us on where we are, obviously assuming regular margin done by anyone. If someone wants to buy the business he can always loose money. But then, it’s not really a sustainable business.
Tristan Gerra - Robert W. Baird & Co.: Great. Thank you very much.
Operator: We’ll next go to the line of Jaeson Schmidt with Lake Street Capital Markets. Please go ahead.
Jaeson Schmidt - Lake Street Capital Markets: Hi, guys. Georges, just hoping to get a clarification on some of these push-outs, obviously they’re going to impact Q2 and Q3. But if you look at the second half as a whole, your expectations unchanged from say, three months ago?
Georges Karam: Actually the growth, obviously when you’re -- this is really the challenge we have because all this is ramping. So, if you move for example when we get in Q2, we felt like we got this slight -- we could do a little bit more in Q2 if the design were supposed to come to launch in Q3. Now the design launch in Q3, we see this coming in Q3. So there is slight impact on our -- on the slope of our ramp if you want, but how to qualify this is, its very hard to qualify this, maybe because all the designs are not the same shifting. Some are shifting not the other one. And you could have some good surprises where some of the design you’re planning doing better than original planned in Black Friday and composite some of this shift. So, the trend is there I tend to see. We’re still targeting to have several of them launching in Q4, and we should see the impact there in Q4. And in addition to this as I said we’re also adding new ones that should help us as well keep the growth in Q1 and Q2 next year. So, when you look to the picture one day you could always say, okay you had a shift of one quarter or you had a shift of two months or one month and a half versus your original expectation, this is how I qualify additional.
Jaeson Schmidt - Lake Street Capital Markets: Okay. And then, finally looking at your mix between modules and chips, how do you see that trending as we start to enter 2015?
Georges Karam: It’s trending in the right direction Jaeson, way we will like to see it, because as I mentioned we are seeing major module manufacturer partnering with us, I mean, I don’t want to mention name for the time being, and I don’t think our platform to introduce this. This gives us the ability as well if you want to be even more aggressive on the module sector. But more important for us to get it kind of pass through to have major design, let them go directly to those module manufacturer and buy module from them and keep the company -- the chip company if you want where most of our revenue and the large majority of this is staying chips. I believe still, I’m still convinced that we should not have more than 20% of our revenue module level next year. This is what we’re targeting.
Jaeson Schmidt - Lake Street Capital Markets: All right. Thank you.
Georges Karam: Thanks.
Operator: (Operator Instructions) We’ll go to the line of Hanna Wakim with UBS. Please go ahead.
Hanna Wakim - UBS: Hi, Georges. Hi, Deborah. Good morning, good afternoon.
Georges Karam: Hi, Hanna.
Hanna Wakim - UBS: Quick question please, on the Verizon call this past Tuesday. The CFO referenced going commercial. He used that word with the LTE Multicast in 2015. And he referenced that the network will be ready by this third quarter. Any color given your relationship with Verizon after the Super Bowl and all that or can you give us any update on that?
Georges Karam: Yes, that’s a good question. Obviously Hanna, I will not comment -- give you more detail about ahead on plan there. But obviously they are moving. I trust or what they are saying to the market there. We are not only engaged, we are engaged with them in Super Bowl but as well we’re engage with them in Super Bowl, but as well we engage with them in the (indiscernible) Race. So you see almost any eMBMS happening in the world, there maybe 90% chance to see Sequans in site not only by the way Verizon, but other carriers as I mentioned. And there are opportunity because the complexity of the eMBMS launch if you want towards the business, what's the model of the operator, how they are going to do it of which device and so on. So some of this is not really yet finalized, I tend to say. Maybe some of it is final, and they know -- would they know exactly how they want to do it. Some still on the table in any planning or evaluation phase. We are engaged on some opportunity like this for business if you want potential in terms of discussion pursuing some opportunity. And we hope that our Multicast advantage if you want the eMBMS featured will be kind of a big plus as well to letting us winning new design and new business when this will come to full launch.
Hanna Wakim - UBS: Thank you.
Operator: (Operator Instructions) We currently have no questions in queue. Please continue.
Georges Karam: Okay. So, thank you all of you for the interest and for listening for the call. Hopefully I will see some of you at least soon in face-to-face meeting, and we can cover more details as we require. Thanks very much.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T teleconference. You may now disconnect.